Operator: Greetings. Welcome to Sprinklr, Inc. First Quarter Fiscal Year 2026 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this call is being recorded. It is now my pleasure to introduce Eric Scro, Vice President of Finance. Thank you. You may begin.
Eric Scro: Thank you, Operator, and welcome everyone to Sprinklr, Inc.'s first quarter fiscal year 2026 financial results call. Joining us today are Rory Read, Sprinklr, Inc.'s President and CEO, and Manish Sarin, Sprinklr, Inc.'s Chief Financial Officer. We issued our earnings release a short time ago, filed the related Form 8-Ks with the SEC, and we've made them available on the Investor Relations section of our website, along with the supplementary investor presentation. Please note that on today's call, management will refer to certain non-GAAP financial measures. The company believes these non-GAAP financial measures provide useful information for investors. The presentation of this information is not intended to be considered in isolation as a substitute for financial information presented in accordance with GAAP. You are directed to our press release and supplementary investor presentation for a reconciliation of such measures to GAAP. In addition, during today's call, we will be making some forward-looking statements about the business and about the financial results of Sprinklr, Inc. that involve many assumptions, risks, and uncertainties, including our guidance for the second fiscal quarter and full fiscal year of 2026, the impact of our corporate strategies and changes to our leadership, the benefits of our platform, and our market opportunity. Our actual results might differ materially from such forward-looking statements. Any forward-looking statements that we make on this call are based on our belief in assumptions as of today, and we disclaim any obligation to update them. For more details on the risks associated with these forward-looking statements, please refer to our filings with the SEC also posted on our website, including Sprinklr, Inc.'s quarterly report on Form 10-Q, for the quarter ended April 30, 2025. With that, I'll now turn it over to Rory.
Rory Read: Thank you, Eric, and hello, everyone. It's nice to be with you today. I'll start by providing a few 1Q financial highlights before covering some of my thoughts on the progress we are making in transforming the Sprinklr, Inc. business. First quarter total revenue grew 5% year over year to $205.5 million, and subscription revenue grew 4% year over year to $184.1 million. We generated $36.7 million in non-GAAP operating income, which resulted in an 18% non-GAAP operating margin for the quarter. I'd also like to highlight the record $81 million in free cash flow generation for the quarter. I want to thank Sprinklr, Inc. team members from around the globe and our customers and partners for trusting us to help them solve some of their most important business needs. In April, we welcomed Sanjay Mccwan as our Chief Information Officer. Sanjay's experience, leading enterprise technology and information security at scale, will help strengthen our security posture so we can deliver hardened world-class products while supporting our long-term vision to make every customer experience extraordinary. I expect we will make further leadership team additions as we move through FY 2026. Now I'd like to provide you with an update on Sprinklr, Inc.'s transformation. Today, we have established a clear ambidextrous strategy, implemented a business management system, optimized our cost structure, realigned our go-to-market coverage model, and strengthened our product delivery roadmaps. We are creating a foundation from which we will strategically invest and efficiently run Sprinklr, Inc. to improve our business. While we saw positive improvements in the business in the quarter, particularly around non-GAAP operating income and free cash flow, we are still a work in progress and have significant work to do across our business to elevate the consistency of our execution, improve the predictability of our results, and drive future growth. As I have shared in our previous two earnings calls, FY 2026 is a transitional year for Sprinklr, Inc. We anticipated some near-certain challenges as we implemented a series of strategic and operational changes to directly address past execution challenges and to position the company for the long term. During my many meetings with customers around the world, there are clear instances where some of them were not effectively implemented or properly supported, which understandably led to their dissatisfaction. In addition, the broader macroeconomic uncertainty has resulted in longer sales cycles and increased scrutiny of enterprise spending. This heightened scrutiny, coupled with inconsistent operational execution and lingering technical debt from the past several years, has continued to put pressure on our renewal site, resulting in more down-sell activity and, in some cases, logo churn. Addressing all forms of churn is a top priority in our transformational journey, and we are actively working to resolve these issues. As Manish will cover later in the call, subscription revenue non-GAAP operating income guidance. However, we must continue to improve our execution to drive stronger financial performance in FY 2027 and beyond. Our commitment is to help our customers realize the full value of our AI-native platform. This is why we are focused on taking steps to strengthen our implementation processes and increase our post-sales support. We believe these changes and our continued investment will help customers see faster time to value, deepen confidence in the value of our solutions, and unlock expansion opportunities aligned to our customers' critical priorities. We are also making changes to improve our day-to-day execution. Our new business management system provides a more comprehensive view of the business with a clearer understanding of potential risks and opportunities so we can take proactive steps to address them quickly. And our new sales pod structure, implemented in February, enables our sales, services, and product teams to operate in a more unified and collaborative way to support customers. We are getting closer to the C-suite customers and building champions within the CIO and CTO organizations to better align with our customers' technology roadmap and their business priorities. We continue to strengthen our sales teams with hires across our pod structures. With respect to the HealthEbog pipeline, Sprinklr, Inc. Core remains strong and is at the highest level over the past eighteen months. Reenergizing and growing the core is a key driver to durable growth for Sprinklr, Inc. Since our founding, Sprinklr, Inc. has been an a for the world's largest iconic brands. We believe shifting trends in social media today, notably the advancements in AI, social commerce, immersive content experiences, and cross-functional content strategies, play to Sprinklr, Inc.'s strength and position us to win. And in service, we have a pipeline with numerous seven-figure opportunities to pursue and win. Our AI solution was one of the key reasons we are winning as a disruptor in service. We're witnessing a pivotal shift where AI is no longer combined to automating basic tasks. Instead, AI is driving real-time decision-making, and the depth and breadth of the Sprinklr, Inc. platform is helping turn data into insights and insights into actions that's creating values for the brands we serve. Our LLM agnostic architecture is built on Sprinklr, Inc.'s proven automation and AI engine. This foundation enables seamless integration of AI agents into existing workflows. Customers are reporting containment rates ranging from 30% to as high as 80%, significantly reducing the need for human intervention. Now I'd like to cover our Project Bear Hug, which was one of our key back-to-the-field initiatives focused on deeply engaging our top 500 customers. This group represents approximately 80% of our revenue. In the first few months of Project Bear Hug, we've had detailed engagements with well over 100 of our largest customers. We're encouraged by the early results and new expanded use cases as we help companies drive ROI across the Sprinklr, Inc. platform. This initiative brings together all functions of Sprinklr, Inc., sales, service, product, marketing, to bear hug our customers, enabling us to better understand their priorities and deliver better outcomes for their business. As many of you know, product and technology innovation have always been at the core of our strategy and competitive advantage. This focus is earning us industry recognition. We are extremely proud to be highlighted in three top-tier analyst evaluations by Gartner and Forrester, showcasing our exceptional cross-product innovation and unified platform vision. These accolades validate our ambidextrous strategy to reenergize and grow the core while hardening and expanding our service offering to deliver the industry's most powerful AI-native, unified customer experience management platform. This momentum confirms our continued leadership in the Martech space and as a form of disruptor and challenger in the voice of the customer and CCaaS markets. Now I'd like to talk about some of our recent customer wins. During 1Q, we continued landing and expanding with many leading brands, companies such as Calvin Klein, LG Electronics, and Pepsi, to name just a few. As of April 30, we now have 146 customers generating at least $1 million in annual subscription revenue, which is up 6% year over year. I'd like to highlight a couple of examples that demonstrate how we're helping customers to win and deliver measurable results. This quarter, a Fortune 500 global medical technology leader replaced a five-year legacy vendor to reset their digital foundation for future growth. They needed a more innovative enterprise-ready platform. They chose Sprinklr, Inc. in a highly competitive process for our ability to unify global operations, deliver best-in-class publishing capabilities, and support future growth across customer service, advertising, and listening, all on one AI-native platform. Now with Sprinklr Social and Sprinklr Service, the company is transforming how it delivers content and customer experience across markets, equipping its customer service and global social media operations teams with AI-powered workflows, stronger governance, and smarter campaign execution. This win signals a strategic shift to unify and scale while positioning Sprinklr, Inc. at the core of their long-term customer engagement strategy. Our next win is with a leading British retailer in the healthcare and wellness space. They were in search of a strategic partner to completely reimagine their contact center, transforming it from a call center to a driver of valuable insights and revenue growth. Following a competitive RFP process, they selected Sprinklr, Inc.'s unified platform to power a four-phase transformation, capturing the voice of the customer through advanced quality management and analytics, deflecting low-value contacts with intelligent knowledge management, deepening digital engagement via bots, live chat, and WhatsApp, and ultimately, unifying voice, workforce optimization, and CX operations. This win signals a bold shift in how the brand views its services organization, and Sprinklr, Inc. is at the heart of this evolution. A big congratulations to the bear-hugging of cross-functional pods who helped win these customers in Q1. In closing, we're focused on building a better company, and we're making tangible progress in our transformation. We have acknowledged there will be challenges along the way, and we still have significant work to do. But we have clarity about where we are going, where we must improve, and how we will help our customers win. And I'm optimistic about the opportunity in front of us. But this will take some time. Sprinklr, Inc. is the definitive AI-native platform for unified customer experience management that empowers customer-facing teams to deliver seamless and consistent experiences across every touchpoint of the customer journey. The world is moving from transactional customer engagement to unified 360-degree customer experiences. We will leverage our AI-based unified platform and execute an ambidextrous approach to reenergize and grow our leading Sprinklr, Inc. core business while hardening and expanding our disruptive Sprinklr, Inc. service solution and our march towards the rule of forty. Thank you again, Sprinklr, Inc. team members around the world who are passionate about our future. To innovation, we are driven by a shared vision and commitment and aligned to our commitment to creating long-term value for our customers, partners, shareholders, and each other. Now I'd like to turn the call over to Manish to go through the numbers in a bit more detail. Manish?
Manish Sarin: Thank you, Rory, and good morning, everyone. For the first quarter, total revenue was $205.5 million, up 5% year over year, while subscription revenue was $184.1 million, up 4% year over year. Professional services revenue came in at $21.4 million. Our subscription revenue base net dollar expansion rate in the first quarter was 102%. This reflects the ongoing impact from the elevated customer churn and downsell activity that we have experienced in the quarter and over the past twenty-four months. At the end of the first quarter, we had 146 customers contributing $1 million or more in subscription revenue over the preceding twelve months, which is a 6% increase year over year but down slightly on a sequential basis versus Q4 of last year. The sequential decline reflects the cumulative impact from some of the downsell and customer churn challenges we have referenced in the past year. This had led to some customers that were previously included in this metric falling below the $1 million level in trailing twelve months revenue and fewer customers expanding into this cohort. We believe our barefoot focus on customers with the high end of the market should positively impact our seven-figure customer count over time. Regarding gross margins for the first quarter, on a non-GAAP basis, our subscription gross margin was 78% and the professional services gross margin was 6%, resulting in a total non-GAAP gross margin of 70%. As noted on previous calls, we are experiencing higher data and hosting costs as we are launching new cloud environments in response to new business opportunities, especially in Springless. Turning to profitability for the quarter, non-GAAP operating income was $36.7 million or an 18% margin, which drove non-GAAP net income of $0.12 per diluted share. In the quarter, we booked $16.3 million in restructuring charges and paid out $11.8 million in cash related to the restructuring. We also incurred $0.8 million in litigation costs that we deem to be non-core to the operations of the business. As a reminder, these restructuring charges and litigation costs are not included in our non-GAAP figures. With respect to free cash flow, we generated $80.7 million during the first quarter, which is a record for Sprinklr, Inc. If you factor in the $11.8 million cash paid out for the restructuring, free cash flow would have been $92.5 million for the quarter. This is a good start to the year and positions us well. This strong metric reflects our ongoing efficiency efforts, better expense discipline, and improved collection processes. This free cash flow generation contributed to our healthy balance sheet, which now stands at $570.2 million in cash and marketable securities with no debt outstanding. As we disclosed in our earnings release, I'm happy to report that Sprinklr, Inc.'s board has authorized a new $150 million stock buyback program, and we intend to complete the full buyback by June 30, 2026. Given the strong cash flow generation in Q1 and the operational improvements we have been making, we believe this is a prudent use of cash at this time. Calculated billings for the first quarter were $204.3 million, an increase of 7% year over year. As of April 30, 2025, total remaining performance obligations or RPO, which represents revenue from committed customer contracts that has not yet been recognized, was $943.2 million, up 2% compared to the same period last year. And current RPO or CRPO was $596.8 million, up 5% year over year. Before moving to guidance, I would like to comment on the macro environment. Since our last earnings call, it is clear the macro environment has been changing. While we continue to see a healthy pipeline, we think it is reasonable to expect customers to be more cautious and scrutinize their spending decisions for the remainder of the year. Furthermore, I want to address the potential impact on the volatility of the US dollar on our business. Given that most of our billings are in US dollars, changes in exchange rates do not materially impact our revenue. From an expense perspective, however, as a significant proportion of our employee population is based outside the US and paid in local currency, we have a more significant impact on operating expenses. At this point, we estimate a $10 million negative impact on our non-GAAP operating expenses based on current FX rates. However, at this time, we are confident we will be able to identify savings across the business to offset this headwind. Our guidance reflects these assumptions. Now moving to the numbers. For Q2, we expect total revenue to be in the range of $205 million to $206 million, representing 4% growth year over year at the midpoint. Within this, we expect subscription revenue to be in the range of $184 million to $185 million, representing 4% growth year over year at the midpoint. The Q2 guide implies $21 million in professional service revenue, which is growing by 9% year over year. As we have signaled in prior earnings calls, we will continue to invest in our professional services delivery capabilities and expect professional services gross margin to be approximately breakeven in Q2. With respect to billings, we estimate total billings of just under $200 million here in Q2. We expect non-GAAP operating income to be in the range of $33.5 million to $34.5 million, resulting in non-GAAP net income per diluted share of approximately $0.10, assuming 270 million diluted weighted average shares outstanding. This equates to a 17% non-GAAP operating margin at the midpoint. As we discussed on the call in March, we began investing some of the capital freed up from our restructuring earlier this year. This includes hiring in key areas such as go-to-market, R&D, and AI resources to both grow the core and harden our service product offering. For the full year FY 2026, we maintain our expectation for subscription, the ability to be in the range of $741 million to $743 million, representing 3% growth year over year at the midpoint. As we previously shared, we continue to make progress in our transformation, but there is much more work still to do and challenges to address. We expect this transformation to continue across FY 2026. We now expect total revenue to be in the range of $825 million to $827 million, representing 4% growth year over year at the midpoint. This is a $3.5 million increase from prior guidance, driven by an increase in our professional services revenue expectation to $84 million. For modeling purposes, you can assume approximately $21 million in professional services revenue for both Q3 and Q4. For the full year FY 2026, we are maintaining our non-GAAP operating income to be in the range of $129 million to $131 million. This equates to non-GAAP net income per diluted share of $0.39 to $0.40, assuming 277 million diluted weighted average shares outstanding. This implies a 16% non-GAAP operating margin at the midpoint. When modeling the spread of non-GAAP operating income for the second half of FY 2026, you can assume a midpoint of $30 million for both Q3 and Q4 as the investments flow through the income statement. In deriving the net income per share for modeling purposes, a total tax provision of approximately $39 million needs to be added to the non-GAAP profit before tax. To get to non-GAAP profit before tax, start with the non-GAAP operating income ranges provided, and add an estimated $19 million in other income for the full year, with $4 million of that to be earned here in Q2. This other income line primarily consists of interest income. We estimate a tax provision of $10 million here in Q2. This equates to approximately a 26% effective tax rate on our non-GAAP profit before tax for both the quarter and the year. We also expect to be GAAP net income positive for the full year FY 2026, consistent with our performance over the last two years. Regarding free cash flow, we're still tracking to achieve a 15% free cash flow margin in FY 2026, which would equate to free cash flow generation of approximately $125 million for the full year. Q1 coming in at $92.5 million gives us a strong start to this year. Lastly, I would like to thank all our employees for their dedication and passion for what we are building at Sprinklr, Inc., and I'm grateful for the confidence that our customers have placed in us. And with that, let's open it up for questions. Operator?
Operator: You may press star two if you would like to remove your question from the queue. And for a participant choosing speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment while we poll for questions. Our first question is from Arjun Bhatia with William Blair and Company. Please proceed.
Arjun Bhatia: Perfect. Thank you so much. Maybe for you, Rory, to start out with, it seems like you're making progress on the go-to-market side with some of the changes that you're implementing. But as you point out, you know, we're still early in the journey, and there's a lot of work still to be done. So I'm curious, how long is it before you think start firing and also unders with the go-to-market or can kinda reach its full potential and cross-sell, with up-sell, with customer retention, kind of getting to levels where you would be happy with it.
Rory Read: Yeah. Thanks, Arjun. That's a great question. You know, with the go-to-market is a fundamental component of the transformation. I think we did a great job with the coverage model that we implemented in February. I think having the pod structure and creating those teams and really over the right accounts is fundamental to this transformation. In terms of where we are, I think we're making good progress. But as I told you, FY 2026 would be a transitional year. I thought the first half would be choppier than the second half, and I'd look for more of a bend as I went through the year. The two things I think that are important about unlocking the go-to-market is one, I think this push around Project Bear Hug to get our team back in front of the customer every day and a focus on sales execution and sales activity. Driving that engagement with the customer. You know, as we finish May, we've gotten to about 200 of our top clients through this Project Bear Hug, and we're definitely seeing traction from that activity. So I'm very encouraged. So we have to get that Bear Hug work out through about five, six hundred customers over the next two quarters. And that should put us into, you know, somewhere in 3Q. The second thing we have to do, Arjun, is we need to make sure we are creating a robust enablement program for our internal pods as well as our partners because we have to build out our partner ecosystem and our customer. That we're actually implementing this month. We're starting with a series of one hundred level classes, two hundred level classes, and then later in the summer, we're gonna be training our teams on three and four hundred level classes around our eight or nine selling motions. So teaching the pod exactly how to sell, what are the pain points of the customer, and how do we ramp them faster and create those use case models that help them sell. So I'd say as we move through this year, transitional FY 2026, I'll look for that sales force and that pod structure to really start reaching some of its momentum in the latter part of the second half. I think we should see that in 3Q and 4Q and then into FY 2027, 2028, which is your acceleration time period, that's what I'd look for in that. Does that help, Arjun?
Arjun Bhatia: Yeah. Perfect. That sounds very promising. Appreciate that. And then maybe the second one just on CCaaS, it sounds like you're making some progress there. We know it's a competitive market. But it sounds like what you're doing is resonating. So I'm curious what from a product perspective customers are coming with to you to Sprinklr, Inc. and saying, hey. We really like this. This is differentiating the market. And then what's driving that edge in the CCaaS service space?
Rory Read: I think what is key in that, you know, what differentiates Sprinklr, Inc. and why some of these iconic brands are looking to us and how we've made some really important inroads in that CCaaS phase. We only entered that market, what, two and a half years ago. But we have some really outstanding brands. It's because of the AI capability and this platform. Now our CCaaS customers have an experience where they can see more robust. They don't have to switch screens. They can really pull in data about the customer from a unified perspective from the social and the listening and the insights world. They have the robust kinds of capability with the right copilot, AI agentic deflection, and the social support around it. I think that's what they really like about it. The experience and the forward-thinking of that AI-native platform that we're creating and then how we link the other components of Sprinklr, Inc. onto that platform. You're gonna hear later in the year some of the, you know, the wins that we've had in that space at a global level. And I think that they're going to be very important in unlocking the future there. Now the challenge for us has been we have to mature that. And that's when I talk about the strategy about hardening and expanding CCaaS. I need to have that this is a mission-critical application. They love the experience. They love the solution and the platform and the AI nativity of it and the functionality around Agentic AI Copilot, and our studio work, but we have to have robustness in terms of how we release product, how we support product. We need to be a mature enterprise software company, and that's something we'll work across this whole year. So they love the solution. They like the idea. But we have to be better at implementing it and making sure that it's a great experience. We have to harden it, and we have to add some functionality management that will enable us to have the full answer. And I think all of that's on track through the end of the year, through the beginning of next year. And I consciously not pushed the accelerator down there. We are still continuing to grow in that space and add new customers. But I want to get that hardened before I expand further. And I'm spending a lot of time with our existing customers to make sure that's a good experience.
Arjun Bhatia: Alright. Very good. Thank you.
Operator: Our next question is from Pinjalim Bora with JPMorgan. Please proceed.
Pinjalim Bora: Thank you for taking the questions. Two quick questions. The elongation in sales cycles in Screw that you highlighted, I want to ask you, is that broad-based across your customers or is that associated with certain geographies and certain verticals? And maybe talk about what have you seen in terms of spending trends as you stepped into Q2? And the second question is, the logo churn, what is driving that? How should and how should we think about the dollar churn through the year? Thank you.
Rory Read: Yeah. So let's take the first one first. I think what you're seeing there's definitely been pressure in terms of the macro and the uncertainty created by tariffs. It doesn't directly affect us, but I think everyone has, and I don't think it's vertical. I don't think it's geography-based. I think everyone's just focused on managing expense as effectively as they can. And make sure that they're investing in those areas that cover churn. We're seeing plenty of opportunities. I mentioned that we're at the highest point in eighteen months in terms of our core pipeline. I think that's a macro fact. I'd say it's across the planet. I'd say in terms of the impact to us, I'd put that in the thirty percent plus or minus. I think more of our pressure has been over the past two years is on our execution. Okay? I think everyone's gonna feel that scrutiny on selling on expense management. I don't think it's catastrophic. I just think there's more focus on it. Our key is getting better implementation and better execution, delivering on the commitments we made. And I can tell you the ones where we're bear hugging and we're spending more time with the customer we're seeing tangible progress. We just have to do it across a wider swath of the customer set. Now in terms of renewals, you know, we've seen renewal pressure in Sprinklr, Inc. long before I got here, I guess, the past two plus years. You know, I think, again, that's really driven by the need to make our company a mature enterprise software company, improve our implementation, engage the customer, make sure we do what we say and own what we do. If we make a commitment, we do it effectively. And make sure you're in front of the customer every day. And now each of those activities, we have specific actions with our sales pods, with Project Bear Hug, with our enablement, with our work to a our implementations be eighty percent consistent and twenty percent bespoke. And we want our part Today, too much of our implementations are unique bespoke implementations and not consistent enough. So in terms of that, you know, from quarter to quarter and predictability, we just are kind of in the same mode. I'm looking for the business to show a bend in the second half. I'm looking for the changes that we're making in terms of the road map, in terms of the enablement, in terms of the pods, in terms of the improvements to implementation, improvements to the enablement, that should all start to translate to a bend in the second half of the year. Now, plus or minus, we'll look at it. We're a work in progress. And all I'll continue to do is give you updates on this. The challenges of the past two years plus two years, we're not gonna fix in two quarters, but we're gonna fix in a transitional year as we move forward. And I think we're working on the right stuff. I really do.
Pinjalim Bora: Got it. Thank you.
Operator: Our next question is from Catharine Trebnick with Rosenblatt Securities. Please proceed.
Catharine Trebnick: Oh, thank you for taking my question and good first quarter here. So could you delineate maybe the between Sprinklr, Inc. marketing, Sprinklr, Inc. insights, and Sprinklr, Inc. social on the churn, are any one of those having more of a particular problem on renewal? And then the second follow-on question would be, you know, what type of R&D activity are you putting into those projects to help with the renewal? Thank you.
Rory Read: Hey. Thanks, Catharine. From a standpoint, you know, that whole social the core Martech stack space, I think the company, as it pivoted two and a half years ago towards CCaaS, really neglected and really didn't focus there. And I think it's a fundamental part of our solution long term. We wanna reenergize and grow that core. There's no question. We've changed our incentives this year to make sure, and we see that manifesting itself in a better pipeline. That's good news. I like that. I think what we're seeing in terms of renewal there's not much variation between those three components that you referenced. You know, maybe one's three, four points higher or lower, and it can vary from quarter to quarter, but they're all in the same kind of space. When we engage the customer and we work with them on a regular basis, and we help them grow and have the right insights, we see stickiness. We see activity. We see buy-in. When we don't engage the customer, you expect it atrophies. You don't get the impact. That's why we're pushing so hard in the go-to-market. Now in terms of innovation, we're about a project we internally called Project Tiger Shark. In Tiger Shark, what we're trying to do is really focus on all activities around the core to accelerate. So we have focused on improving the user experience, and the UI. We're around innovation and advancing and we're looking externally. Are there acquisition opportunities that can add different capabilities and functionality? And there's some interesting opportunities out there that we're gonna continue to pursue. I think you're gonna see us introduce in the customer feedback management space. As a competitor to some of the traditional players in that space, I think we can be very disruptive there. The key though fundamentally is being engaged with a customer. When we get it right, we grow. We just implemented a large, you know, multimillion-dollar core deal that went live. We sold it in 4Q. It was with a big healthcare retailer. It went live just the past couple of days. Very, very powerful. The key here is to engage the customer, continue to innovate, look for acquisitions that are small but meaningful that allow us to continue to expand on that space. No big variation in the renewals between the three pieces of the stack. We're definitely got an understanding of how to make that change. And we're executing on. Thank you, Catharine.
Catharine Trebnick: Thank you.
Operator: Our next question is from Jackson Ader with KeyBanc Capital Markets. Please proceed.
Jackson Ader: Good morning, guys. Thanks for taking our questions. On the Bear Hug customers, so the two hundred that you've identified what was the rationale behind those two hundred? Is it just the largest two hundred? Is it ones that were most at risk? How did you define two hundred versus the other you know, three to four.
Rory Read: Yeah. What we did that's a great question, Jackson. What we did is we started on the strategic accounts. The top twenty-five to fifty accounts. And then we're then expanded to the top hundred and two hundred. They're definitely based on size, so we wanted to capture that first. But at the same time, through our business management system, we're building more analytics into the accounts, and we're one of the things Bear Hug did did a lot of AI analytics around correlations. What things do we see in account that has pressure? And so we're actually getting kind of like a health check on all our accounts. So we started Bear Hug from largest to smallest, and we're gonna move in that direction. But in parallel, we did this work to do the analytic, and we're really starting to understand what are the factors. Are we seeing the right uptake? Are we seeing the engagement in the platform? Are we getting the right customer sales activity? For example, if we touch a customer fifteen times or more in a year, whether that's through the website, a sales call, getting them to an event. We see their buying propensity increase by 25%. That's a big number. So we want to get sales activity up. And so in parallel, Bear Hug is top goes top to bottom first, but then we're creating this kind of health analytic that's gonna highlight that. And we are now looking twelve months in advance on accounts so that we're managed way further ahead. When I got here in November, they were talking about renewals that were gonna happen that next month in December. That's way, way too late. We have to be way ahead of that. And what you're gonna see as I answer the question earlier on the call, we've got to see that pod structure fund this year. Does that help, Jackson?
Jackson Ader: Yeah. Yeah. Makes sense. Thank you. Quick follow-up, Manish. The $10 million FX headwind on non-GAAP EBIT or, I guess, you know, the to the expense base. Are some of the areas that you think you can actually you know some of the levers you have to offset that $10 million in order to to kinda keep your profitability metrics in line.
Manish Sarin: Yeah. Thanks, Jackson. So I mean, at this point, look, we're actively evaluating the situation. You know, as I think you've picked up, we've been pretty thoughtful in where we're spending our money. So I think everything's on the table. We you know, as we did our reduction earlier in the year, we did keep some dry powder to figure out where we would invest during the course of the year. We're just gonna look thoughtfully at the monies that we have and as I said in the prepared remarks, we are looking to maintain the guide that we've put out. So we just look at where we can pull back and just be more thoughtful about our spending.
Rory Read: And, Jack, I'd add a little bit of color on that one from an investment standpoint. You know, I'm not saving our we're not gonna save our way to cross prosperity here. We wanna run an efficient model, and I think we've done some good work on cost optimization. We have to continue to invest in innovation. As we talked about with Catharine just a minute ago. But I also I think there's key areas like AI. We have a real leadership product here. We need to continue to expand that. I need some tiger teams in the region so I can engage the customer faster. I think that's gonna be an area I'll look at. Another one is around this pod and enablement structure. I need them to come up to speed. We need them to come up to speed faster and really understand how to sell. And then our support and services and implementation we have to transform some of that so that we're way better. I think we've been very prudent in where we've made our investments in the product area and improve the road map, but those are three areas. And I wanna make sure that everyone knows that we were gonna continue to make those moves that put us position for long-term durable profitability and growth. In twenty-seven and twenty-eight. And that's what's most important. Those are the areas we're gonna look at.
Jackson Ader: Okay. Thank you.
Operator: Our next question is from Raimo Lenschow with Barclays. Please proceed.
Raimo Lenschow: Perfect. Thank you. Congrats on me as well, Rory and Manish, good early performance. The question I had on CCaaS, there's obviously a big discussion in the industry about, like, what AI is going to do to them. Can you speak a little bit about your vision there? To that space. And can you so Like, CTOs vendors. how that will come together and how you are maybe slightly differently positioned than the classic Thank you.
Rory Read: Raimo, I love that question. I love this disruption. I think this disruption has opened the door for Sprinklr, Inc. I think this AI transformation is a hundred percent real. And this idea of digital deflection and agentic deflection and support, it's real. Do I think agents in the CCaaS space are gonna dramatically decline? You know, there's some people out there that say, you know, ninety percent of the agents will be gone in tenure. That's not the case. That's not gonna happen. But I think that you're gonna see an important component of co-piloting and agentic work that's gonna deflect a fair amount of work. You're gonna see the digital support activity. It's gonna deflect a significant part of partial of work. I still see that space growing in total. And I think that you're gonna see this kind of movement that's occurring. That plays to our hand. We have that capability built in. And this will drive this movement to a unified customer experience. Well, you'll pull in the other activities around social and around digital and around voice settled create an end-to-end solution. We're already selling it, and we're seeing momentum in that space. It's now a question of when does it accelerate. And if you read some of my LinkedIn posts, you'll see that I talk about that. I think that's what I love this disruption. I think it's spot on, and that's one of the key reasons I believe in Sprinklr, Inc. Now the key for us to winning it is we've got a good platform. We've got it in the right space, but we have to mature this company. We have to get the right processes. We have to get the right sales motion. We have to get the right support function. That's what this year is about. You've got to give us time to fix those items. And if we fix those items, then we really can scale with these iconic brands. And support this, we're in a very good position to capture a lot you know, a significant part of that business. And I think we're very well positioned for it. But we've got to fix the maturity and harden the platform. This isn't just a social listening platform anymore. This is a mission-critical, unified AI-native customer experience platform. You have to behave like that if you're gonna support the world's most iconic brand on their mission-critical apps. That's what we have to do over the next six, nine, twelve plus months. And if we do that, that transformation and that movement of the market plays to our hand. I love that this disruption. I want it to happen. But I need to mature at the same time. Thanks, Raimo.
Raimo Lenschow: Yep. Makes sense. Jake, can I have just one quick follow-up? Maybe it's more for Manish. If you think about your new business information system that is in place now, it's great to see. They usually are things that you realize, oh my god. I know something that I didn't know, and now I can act better. Talk a lot about, like, how comprehensive will that be for the organization? At the moment, you know, sales renewal, etcetera. Is that going just is it small for that space, or is it going broader than that? Thank you.
Manish Sarin: Yeah. Thanks, Raimo. So the BMS is way broader than that. So it's not just focused on renewals. It's everything from product delivery to enablement to how the sales teams are performing. Most BMS systems you would look at would tend to be just around what's happening in the go-to-market. And I think one of the things we realized was we were good at what we did. Put more in silos. And so I think the BMS is really all around making sure everybody in the company has a full 360 view of what's going on and how do we perform better as a team versus in our own individual domains.
Rory Read: And what the key here is, Raimo, is you got to create a thirteen-week cadence every quarter. And you've got month one, month two, month three, and then you have biweekly components. We reviewed the road map. We reviewed the implementation. We do month one, which has a strategic deep dive. We get the entire leadership team together three times a quarter for, you know, two days. We're engaged and we have a we look at product, we look at sales, we look at marketing, we look at people. How we're changing the culture. We look at all those components. And across each thirteen-week cycle, we have a full calendar of events. Now we're burning that in, and I think we're getting you know, if you think of Sprinklr, Inc. like an airplane, when we got here, it had a couple of dials. You knew how fast it was flying and maybe what height we were. Now we know oil pressure on the engines. We knew the temperature of the water. We know the airspeed. We know the we're starting to be able to see the weather that's coming in the future. And that's where you have to get the BMS to get proactive. But again, a work in progress. You have to give us time to do the work to create the bed.
Raimo Lenschow: Yep. Makes sense. Thank you. Congrats.
Operator: Our next question is from Elizabeth Porter with Morgan Stanley. Please proceed.
Elizabeth Porter: Wanted to follow-up on comments around the pod structure and just fundamentally changing the sales culture. Just understanding that culture may be hard to change, wanted to better understand the receptiveness from the teams, kind of what incentives you're putting in place, and what are the metrics you're looking at to really measure success of the new pod structure? Thank you.
Rory Read: Yeah. Elizabeth, that's a great question. So the I think the first piece of work we did to launch in February was to get the new coverage model and really have this concept of pod where you have the AE kind of running the quarterback of the play. You got this solution consultant being the CTO, you know, the technical. You've got the technical success manager with the right technical skills to have the ongoing relationship to really build it. You've got, you know, the RAM, the renewal manager in there. You've got the implementation and the managed service. So they're behaving as a single unit. And they're getting in front of the customer. It didn't it creates that collaboration and teamwork. And we're bringing in product skills. So when we do a win report, you can see salespeople, product people, finance people, marketing people, all referenced as it takes a village. We've got to create this mindset that everyone's job is around the customer. The Sprinklr, Inc. way is about this objection with the customer around accountability. I do what I say, and I own what I do. And it's about, you know, collaboration and teamwork. I do it as a group. We only succeed united. And then, ultimately, it's about building trust. And remember, I love that book, The Speed of Trust. It's fundamental. If you build trust, you'll be successful. In the culture of the sales, you want to create this ownership. We can't have an in hit and run sales team. We need a team that's working. We live and die together, and we've created this engagement with the customer and get the sales activity. Because I referenced earlier, we get the touches, our sales win rate increases by 25%. You build better pipeline. We're creating the incentives to encourage it, but you're right. It takes time. That's why I need time to build that in. Now good news is we've had a fair amount of attrition in the past two years, so a lot of new people. So you can help train them and grow them. That's why we're spending time on enablement right now. And you've got to create this, and winning begets winning. We're not all the way there. But we are highlighting where we have these great successes. And that's the kind of dichotomy of Sprinklr, Inc. Sometimes we have this renewal pressure that's been going on for two years, and then other accounts we just have these amazing unlocks, and we're able to grow it. And we're so fundamentally important to them. How do we catch that lightning and show that team? That's how we change the sales culture and the culture of the company. And that's what you know, Joy Corso and her team is focused on. It's really creating that kind of cultural transformation. But it'll take, you know, most of this year. Culture always takes between twelve and twenty-four months to get there. Always.
Elizabeth Porter: Great. Thank you. And then just as a quick follow-up, after the 15% reduction in workforce and some of the reinvestment you're doing just in the right areas. How should we think about the puts and takes and what year-end headcount could be looking like?
Rory Read: Yeah. I think plus or minus where we are today. I mean, maybe a little bit more. I want to be prudent on it. I'm really looking to upgrade our technical capability. I think we have, you know, maybe plus or so, maybe a hundred, a hundred and change, something like that. But I think it's in the ballpark. I think we ought to make sure we don't get ahead of ourselves. That we're very prudent. I need I could continue to grow on three hundred plus AI skills that I have. I need to upgrade the technical capability of our success managers and in our solution cell consultants. Those are two areas. I think we gotta make some investment in the enablement but I think there's puts and takes. There's some other areas. I think we're in the general right ballpark, you know, and I think let's get revenue, you know, let's see a bend in the business and then we can kinda talk about where do we go from there. But I think we can be just as efficient.
Elizabeth Porter: Thank you.
Operator: Our next question is from Patrick Walravens with Citizens JMP. Please proceed.
Patrick Walravens: Oh, great. Thank you. Hey, Rory. Can we go back in time a little bit? When you were at and what I'm trying to get at here is sort of as you fix the fundamentals of Sprinklr, Inc. the strategic value of this business. So it, Vonage, you were you were appointed July of twenty-one. So that went twenty-twenty, and Ericsson announced the acquisition November really quick. Right? Can you just walk us through how that played out and help us think about sort of what the strategic value of Sprinklr, Inc. might be.
Rory Read: Yeah. I think as I've shared with you, Patrick, and the team, there's a particular approach that we go about when we take on one of these transformations and these kind of turnarounds. The first phase is always around business optimization, and most of that work is done. That's where we reorganize the go-to-market, and we get the pod structure. That's where we refocus the road maps to make sure that we have the right priorities. We put in place the BMS. We get the right strategic initiatives. Often, companies like this struggle with lack of clarity, and they get they get kinda paged like an old mainframe. Right? They're so busy switching from idea to idea, they're not really doing any work. They're just paging workload in and out of memory and never getting there. Now that shows how old I am because that's not the case how it works at computing anymore. But I think, you know, you do that optimization work. And then most of that is all done. The BMS is in place. I highlighted that as strategy is clearer. Then you go through a transitional phase, and that's somewhere between, say, twelve and eighteen months. You know, that's why I talked about the first half of this year being you know, that bumpy kind of period. And then you look for a bend as we go through the second half into FY 2027. And that puts you somewhere eighteen to twenty-four months out. I think, you know, Vonage had the advantage of the COVID kind of acceleration that it caught the wind at the same time. But we followed the exact same structure. And then you move into an acceleration phase, whether that's, you know, twelve to eighteen months in or whether that's, you know, twenty months in or twenty-four it's in that general period. It could be as short as fifteen months. But, you know, that's what you're looking for. And then you start to build on it. So you do your optimization work. That's pretty much done here at Sprinklr, Inc. Now we've got clarity on the strategy. Now we use this transition year to fix the processes, the programs. We make some of the investments. We start to change the culture, and we move the whole thing in terms of maturation and maturity as a software company. And then that kind of puts us at the end of this year beginning of next year sometime. And then we're then we're trying to put more logs on the fire. Now you're trying to accelerate the business and grow, and that's how you push towards the rule forty. You know, each one is a little bit different. So you can go look at Dell Boomi or Dell Virtustream or AMD or Lenovo. You know, there's a whole long list of different companies that I've worked on. This is definitely the approach. That's how you should look at it. Patrick. And I think we're right where we should be at this point. Now this transition year is really fundamental. And I think we're doing the right things. Now we gotta see it, you know, each component. And I can tell you that we're a better Sprinklr, Inc. than we were six months ago. And I expect to be a better Sprinklr, Inc. in six months and a much better Sprinklr, Inc. in twelve months.
Patrick Walravens: Thank you. And Manish, should I do a quick follow-up, which is I think I well, I was looking for 103 on the dollar expansion you guys came in at 102. So just what should what should we expect going forward just so we can sort of not be overestimating it?
Manish Sarin: Yeah. And I think so that's a good question, Patrick. I think where we are right now, the 102 give or take, is probably where I expect it to be. Again, we don't make any predictions around it. It's hard to sort of estimate. But if you look at a full year growth rate of call it four or percent on the subscription side, that would sort of put the 102 right around where you'd expect it to be because some growth will come from new business sold during the year and obviously, a lot will come from upsells into the existing accounts. I would expect this number to be kind of where it is right now. Again, give or take a couple points here of that.
Patrick Walravens: Okay. Thank you. Both.
Rory Read: That's it, Patrick. I appreciate that. I think we're good now. Alright, Eric.
Eric Scro: I think we're good. Operator, if you have anything else, otherwise, Rory, any last remarks from you?
Rory Read: Well, first of all, I'd just like to thank everyone for joining. I appreciate everyone's interest in the company. I do want to thank the Sprinklr, Inc. team members around the world for their passion and energy. I'd ask you to continue to track us as we go through. We'll give you updates in a very open, transparent way so you can track where we're going. It's a work in progress. But I think we're in the right place at the right time. We're dealing with some of the challenges of the past. We're making the right changes. And we're looking for the company to see it bend sometime in the second half of the year. But at this point, we're a work in progress. Let's keep focused on making a better Sprinklr, Inc. give us a bit of time. I appreciate everyone's interest. And thank you, Sherry, for hosting the call today.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.